Jeff Laudin: With me today are Mogens Bay, Chairman and Chief Executive Officer; Mark Jaksich, Executive Vice President and Chief Financial Officer; Tim Francis, Vice President and Corporate Controller and David LeBlanc, President of the Engineered Support Structures segment. Before we begin, please note this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of the call. The instructions for accessing a replay of the call can be found in our press release. I would now like to turn the call over to our Chairman and Chief Executive Officer, Mogens Bay.
Mogens Bay: Thank you, Jeff, and good morning, everyone. Thank you for joining us. The quality of first quarter earnings improved with double-digit operating profit of 10.5% versus 8.6% a year ago. Earnings per share rose 13% driven by the benefits of the 2015 restructuring plus ongoing cost reductions and productivity improvements. Our end markets however remained challenged with no sign of recovery in the near-term. Sales which declined 11% this quarter were negatively impacted by a sharply lower steel cost, negative foreign currency translations and low volumes. Let me turn to the performance by segments, in the Utility Support Structures segment sales declined 18% from last year, about half of the decline is the result of lower volume and other half is attributable to a significantly lower steel cost impact on revenue. Efforts to control what we can control led to an improvement in operating income of 10.2% of sales up from 8.7% of sales in 2015. As a reminder, we initiated a price increase last year and while we saw hit rate decline initially it is now commensurate with higher levels, this coupled with our restructuring and productivity improvements efforts has also resulted in an improvement in the quality of our backlog. We expect second quarter revenue to be about 10% higher than it was in the first quarter, and we expect to continue to deliver double-digit operating income. As such we remain confident in our ability to deliver 200 basis points of improvement in operating income this year off the 2015 base. Turning to the Coatings segment, lower internal volumes in North America were largely offset by the effect of an acquisition completed in the fourth quarter of last year resulting in flat year-over-year North American sales. Meanwhile continued weakness in Australia pressured sales below last year’s level. Segment operating income improved slightly despite the lower sales helped by restructuring benefits, including plant consolidations implemented last year. Our newly carved out Energy & Mining segment continues to face a very difficult market environment, but we are making strategic moves to strengthen our position. In the Access System businesses, we are diversifying our customer base and expanding further into civil and architectural markets. Early results of our efforts are encouraging. In the Donhad Grinding Media business we continue to drive productivity improvements to offset some of the weakness from the depressed mining market in Australia. At Valmont SM we continue to see solid demand for structures and rotor housings for offshore wind farms. For those product lines serving the oil and gas industry remain very weak. Given our expertise in large, heavy, complex deal structures we are focusing on leveraging our capabilities to expand into other verticals. In our Irrigation segment North American activity levels continue to face downward pressure as a result of declining net farm income. In the international markets projects in the Middle East and Eastern Europe offset market weakness in other regions. We are not seeing any indications that Irrigation market will improve in the near-term. Second quarter results will be very dependent on volume from storm damage which is unpredictable. On a positive note, the quality of earnings remain very good. Productivity improvements, cost takeouts and effective price management resulted in operating profit of 18.3%, as well we are continuing to invest in new technologies and product development. In general we have not seen a meaningful disruption in pricing in North America although multi-system deals and projects continue to be very competitive. In the interest of increasing senior leadership visibility and providing greater transparency into our businesses last year we began including our segment leaders on the call. Today David LeBlanc who is Group President of Engineered Support Structures is here to provide the quarterly update on that segment. Many of you met David at our recent Investor Day in New York, David?
David LeBlanc: Thank you, Mogens, and good morning everyone. Q1 2016 at Engineered Support Structures was a solid quarter and a good start to the year. While sales were basically even with prior year operating profit showed healthy the expansion versus 2015. Positive sales trends in the Asia Pacific region particularly wireless communication build outs in China and Australia and improving infrastructure investment in India, offset a number of headwinds. Those headwinds include a large European export order in 2015 that did not repeat stagnant market conditions in the U.S. telecom segment, and revenue compression from raw material deflation. An additional bright spot for the segment were solid U.S. lighting markets, particularly those exposed to commercial construction where markets remain strong. While currency translation negatively impacted sales by $5.6 million in the quarter, segment operating income improved to 8% of sales compared to 5.3% last year. This expansion reflected last year’s restructuring efforts, lower input cost and improved manufacturing productivity. As we look forward we expect to continue to make progress expanding our profitability but at a substantially lower rate of improvement then we saw in Q1. We don’t expect the gains in material margins to repeat and we face more challenging overall comps through the course of the year. We also expect that the drivers of our improvement will shift some. Our U.S. businesses drove two-thirds of our margin expansion in Q1, in Q2 and beyond, we expect the majority of our profitability gains to occur outside the U.S., as our improvement programs around the world gather momentum, prior year comps in Europe softened and material gains in the U.S. subsided. Our overall markets look to be stable coating activity in the U.S. remains solid and our U.S. lighting and traffic backlog is healthy. The market drivers of our Asian businesses are expected to remain intact, while our European businesses are prepared for a stagnant economic backdrop. Rapidly rising steel prices pose a risk for ESS as end market pricing takes some time to adjust. While near-term global steel pricing is likely to rise the medium to longer term is less clear with global steel capacity utilization still in the upper 60s to lower 70% range. Our teams around the world are very actively managing and getting out in front of this dynamic on both the purchasing and pricing side. Execution in this overall low growth environment remains critical. Our teams remain focused on driving a number of manufacturing cost reduction projects along with steadily improving our commercial productivity. Summary, our first quarter progress at ESS was very encouraging and I’ll now turn the call over to Mark.
Mark Jaksich: Thank you, David, good morning everyone. Starting with sales the 11% decrease was due to a combination of volume of 4%, pricing and sales mix of 4% and foreign currency translation of 3%. The volume impact was largely seen in the Utility Support Structures, Irrigation and Energy & Mining segments. The most significant pricing mix effects were realized in the Utility Support Structures segment which accounted for about half of the decrease in segment sales this quarter. Sales pricing in this market is somewhat related to fluctuations in steel, as such significantly lower steel prices versus the same period in 2015 had a negative effect on our revenues. Gross profit margin for the Company was 27% in 2016 up 230 basis points year-over-year. All segments except Energy & Mining reported improved gross profit margins which resulted from lower raw material prices and operational improvements in our factories, including the positive effects related to our 2015 restructuring actions. We’re starting to see some upward momentum in steel prices as we enter the second quarter and lead times have extended for some grades and types of steel. We continue to monitor movements in steel and other key inputs and our working with our key suppliers to ensure effective operations. With respect to our international operations the strengthening U.S. dollar continued to be to serve as a headwind. The effect on sales and operating income in the first quarter was approximately $20 million and $1 million respectively. SG&A spending was down from 2015 largely as a result of our cost reduction efforts and to a lesser extent FX translation effects. Operating income of 62.4 million was up 8% from last year and was 10.5% of sales. Our effective tax rate was 32.3% in 2016, an improvement over 2015’s rate of 35%. For fiscal 2016 we estimate our effective tax rate will be 33%. Operating cash flows for the quarter was strong at 80.5 million as compared with 55.5 million last year. The improvement resulted from the improvements in working capital management, hence delaying the annual contribution payments for our UK pension plans. Capital spending was approximately $14 million resulting in free cash flow of $66.5 million well in excess of net earnings. We expect annual CapEx to be around $70 million which includes the build out of galvanizing facility at an existing structures’ manufacturing site in Brenham Texas. This galvanizer which is on space vacated by utility as part of last year’s restructuring is expected to be operational later this year. Regarding other capital deployment activities we repurchased $17 million of our shares under the current reauthorization. As of today we’ve $164 million remaining under this authorization which does not have an expiration date. Turning to the balance sheet, our balance sheet remains strong, our leverage ratio at the end of the quarter was 2.7 times adjusted EBITDA, well within debt covenant. Our leverage level is appropriate for the cyclical nature of our businesses while providing room to pursue investments in growth in our core businesses including new product development, market expansion and acquisitions. Cash at the end of the quarter was 388 million about 300 million of which resides outside the U.S. As we have communicated our cash priorities are to support our current businesses, where working capital and capital spending is needed. Acquired companies that strengthen or closely adjacent to our existing businesses, pay dividends at 15% of net earnings overtime and repurchase shares. Finally, we are reaffirming our annual guidance for EPS growth of 12% to 15% of 2015’s adjusted EPS of $5.63 per share. I will now turn the call back over to Mogens.
Mogens Bay: Thank you, Mark. The first quarter results demonstrated the positive impact of last year's restructuring and our ongoing effort to lower cost and improve productivity while enduring the persistent difficult macro-environment. We are monitoring steel cost very closely but recently we have seen increased steel prices both in China and in North America. As I've said before we're not overly concerned with the level of cost of steel as long as it is getting to where it is going in an orderly fashion. In such an environment we can usually manage our margin profile pretty well. However if steel spikes we can see margin price as we work through the unprotected portion of our backlog and conversely if steel drops rapidly we can see margin compression as a result of steel in our inventory being quite higher than the current market. And with that we're ready to take your questions. Kayla if you'd like to cumulate the queue we're ready for that.
Operator: Absolutely. [Operator Instructions] Our first question comes from the line of Julian Mitchell. 
Julian Mitchell: Just the first question maybe for Mark around the gross margin trend, and as you said that grew over 200 points year-on-year in Q1. Is there any way you could parse out I guess the difference in there in terms of the drivers of material costs versus productivity?
Mark Jaksich: Sure, yes Julian. I would say that on the whole the effect of lower raw material prices that were in excess of what we had to give back to sales pricing and the effects of productivity were about equal in that regard, so both of them had a good contribution towards that margin expansion.
Julian Mitchell: And then Mogens maybe on the Utility business you know the pricing or price mix I know it’s lumpy but it seemed perhaps slightly less negative than most of the quarters you've seen in the past sort of 12-18 months. Are you seeing any change in end demand conditions in Utility at all or is it just sort of lumpiness quarter-to-quarter and specifically I guess if you are seeing any shift in conditions around that, that small projects versus large projects. And the backlog you have the visibility there?
Mogens Bay: Well, I would say that in general the market is probably pretty flat. I think pricing has firmed a little and the -- that is mainly evidenced by or should be evidenced by the extension in backlog and in the lead times. The industry lead time has probably extended by a couple of weeks. We have most of second quarter in the backlog, and pretty good visibility to the second quarter. I would say that the mix between large and small projects is still very much skewed towards smaller projects. There's some talk about larger projects but probably not until going into next year but I would say that the environment has not deteriorated from what we saw last year and I think our productivity improvements and cost takeout is what basically has driven our better performance.
Operator: Our next question comes from the line of Craig Bibb.
Craig Bibb: Hi, I guess I noted in the press release that the Tubing revenues were down a lot into the first quarter you have reported with these segments. So how much was U.S. Irrigation down and just Irrigation by itself?
Mogens Bay: I would say without breaking out the Tubing business but the Tubing business is the one that will see the biggest impact on revenue from lower steel cost prices, so if the whole segment was down 9% and the Irrigation business is probably down more in the 7% range.
Craig Bibb: Okay, and international's about the same?
Mogens Bay: Yes, in local currencies slightly down as translated into U.S. dollars.
Craig Bibb: Okay. And then you guys also called out the China Wireless Tower business, it looked like it was up in the quarter, if do you have visibility through the remainder of the year?
David LeBlanc: Yes, this is David LeBlanc, the visibility is decent, I mean as far as the China market provides, we have decent visibility through Q2 at least, second half so a little bit more challenging but the overall dynamic that we saw in Q1 at this point still looks to be similar for the rest of the year.
Mogens Bay: Which is a bright positive in China because the China economy in general has been softening so it’s nice to have kind of a niche market there that has helped our activity level in China.
Craig Bibb: Great and I just want to…
David LeBlanc: It is more than just China it's a piece of India and Australia as well for the telecom space.
Operator: Again as reminder please only ask one question and one follow-up question. Our next question comes from the line of Brent Thielman.
Brent Thielman: Mogens on the International activity in Irrigation are these more one-off project opportunities or maybe indicative of broader demand within the regions where we can kind of think about better volume going forward?
Mogens Bay: I would say that if you look at the base business in markets that have been well established for a long time and in the U.S., Brazil, South Africa, Australia, as an example. Those markets are seeing some of the same pressures as we have seen in North America. Brazil even more so as a result of the declining value of the real, but the Project business is by definition kind of one-offs and I have actually I was pleasantly surprised to see the level of activity in Eastern Europe and the Middle East despite all the political and all the issues surrounding there. I was in Dubai a few weeks back and I was very pleased with activity levels we see there, but there their projects and as I've always said from quarter-to-quarter they can be there not be there, but we benefited from them for sure in the first quarter.
Brent Thielman: Okay. And then just thinking about M&A, it looks like you've got the costs aligned restructuring successful here I guess any thoughts are you thinking a little bit more about M&A of rather allocation?
Mogens Bay: The answer is yes, as we went through restructuring we still are working on our pipeline for acquisitions. There has not been a lot of activity but as Mark pointed out we have between cash on the balance sheet and our revolver. We have about $1 billion available so we were probably step-up activities in the acquisition side but stay disciplined to not just create an EPS accretion but also seeing our way to beat our cost of capital.
Operator: Our next question comes from the line of David Rose.
David Rose: If we can spend a little time on the Irrigation side given that I guess 40% of operating income in the quarter was from there and just a better sense in the margins given what you saw in the quarter was in I think Julian’s question was largely based on that the entire company but maybe if you can breakdown the what you saw in terms of productivity gains, waste, fixed cost absorption or purchasing from the margin component. And then walk us through how we should think about margin pressure on Irrigation particularly from steel because that's a shorter lead time smaller inventory, so you'd impacted more quickly so maybe you can help us better understand pricing dynamic as well given that last quarter you have reduced prices slightly because of lower steel prices and is that implied that you have to raise them in order to maintain margins?
Mogens Bay: Well that was a lot of questions, but…
David Rose: Sorry, sorry they are all broken out so I can get my additional question.
Mogens Bay: I'll try and give you an overall picture. As we have said before the biggest risk to profitability in the downside in Irrigation is if pricing discipline disappears in the market and I am mostly talking North America, but we continue to see very competitive environment for projects for multisystem deals both in North America and internationally. But overall pricing discipline has been pretty much in place, I would say that the improvement in the quality of earnings despite a down draft in revenue is really focused on significant productivity improvements not so much restructuring cost takeout because Irrigation business we've been through that so many times so we took out cost very quickly when the markets contracted. Some benefits from lower steel cost but I would say less that than productivity improvements and I think that if steel moves up here in the next quarter or so this a fairly low quarter from a revenue standpoint the second quarter, so it's more important what happens to steel going into the third and fourth quarter of this year. But I would say that the productivity through the plants cost takeout is the main driver for the quality of earnings.
Operator: Our next question comes from the line of Ryan Connors.
Ryan Connors: My question is I just wanted to talk a little more about Irrigation domestically and when you hosted your Analyst Day back in February one of the things you talked about was it was still a little early in their "selling season" to really pine on the market and how it’s shaping up, so now that we do see here in the heart of the selling season, can you just kind of give us a characterization of the market what you’re hearing back from your channel on how things are shaping up here?
Mogens Bay: Well, I would say that the market is kind of coming to an end for this year, second quarter is one that really slows down and I would say that there has been no change in the external environment. We still see downward pressure on the revenue side also going into the second quarter. The wildcard in the second quarter as you know it's going to be storm damaged but the underlying business there is nothing out there that says that that will get any better. We always say that then when you move into the third and fourth quarter it all depends on acreage planted and the expectations for net farm income and even there on this we have a production problem somewhere in the world or major shift in demand we have healthy ending inventories and I don’t see much change. So I would say for the rest of this year unless something changes over the summer time more of the same.
Ryan Connors: And then just one quick, quick item is on the highway market any update on the Guardrail business? I know last year you talked about it affected your reseller for one of your partners who had the legal issues there, and that that was a headwind last year. Any update on that front?
Mogens Bay: I am going to have David address that. And remember that our Guardrail business is in Australia-New Zealand.
David LeBlanc: Yes, so for the most part as Mogens said it is an ANZ focused business and that business for us is stable in Q1. I think the supply chain challenge out of the U.S. was a problem for us last year. During the first quarter of this year it was a much more fluid supply chain that helped us serve otherwise stable markets with a better supply chain that was a contributor to better margins for that business in Q1. So the dynamics around U.S. issues and as they affect us and where we compete went away for this year and was an overall positive for us.
Operator: Our next question comes from the line of Sean Williams.
Sean Williams: I am going to take advantage of having David on the call here. Could you just talk a little bit about maybe U.S. Wireless I think in the comments on the call was about that it is still a bit stagnant maybe just talk about when does that market start to perk back up? And then also just any thoughts on when we start to see the kind of the highway portion of the logging business start to really ramp?
David LeBlanc: Yes, Sean. As it relates to U.S. telecom, it's primarily related to one large carrier who has redirected most of their CapEx into financing paying for pretty large acquisitions. So, I think that dynamic started last year where there was a heavy pull back from that carrier. And that same dynamic is continuing on into this year. So, we’re not seeing any bounce back from that, that’s been sort of the defining feature of the U.S. telecom space, so it's down and it's staying down from that level. The second question relative to the Highway Bill, long-term we think that that’s going to help us, in the short-term where it does affect us it's going to be I think somewhat limited in that most of the projects that affect us would be longer cycle sort of beyond a one year time plan type of project. So, we are seeing better coating activity, we do think that that is a support for 2017 but we don’t expect a huge uplift from that in 2016.
Operator: Our next question comes from the line of Nathan Jones.
Nathan Jones: Mogens, you talked about some of the sources of the improved margin and one of the things you talked about was improved productivity. I know you have talked about things like in the Utility business the planning of the flow through of the material through the plant, maybe wasn’t as good as it could be. Can you talk about kind of what the sources are of those productivity improvements? How do you feel about execution within each of the businesses, things of that nature?
Mogens Bay: Well, let me address it in a broader sense under the label of lean, and we’ve been on a lean journey for a while. I would say the Irrigation business is probably a one that’s the furthest down and have seen the most benefit. Utility has had a laser sharp focus on that over the last 12-18 months. And they’re seeing great improvement. So, one measure is fully loaded cost per hour in our utility plants and we’ve seen a constant reduction in that number and that’s one of the measurements we are looking at. But it's all aspects I believe and the productivity improvement we have seen in the Utility business is impressive. And the way they’re loading the plant centrally, filling the low cost plants the first and how they are centralizing their steel purchasing, doing more mill direct, all of these things have helped with the improved earnings picture. That improved earnings picture is not a result of better pricing, it's a result of better productivity.
Nathan Jones: And I guess my second question in on Utility you talked about having raised prices last year, a lower initial hit rate but that going back kind of to where it was before now. Is there a thought of maybe repeating that exercise or do you think you're tapped out on your ability to raise prices there now?
Mogens Bay: Well I would say, being back at the hit rate we had is a nice place to be. We've seen an improvement in the quality of our backlog whether we can do that one more time it is possible. You know the trick in the business is that if we want to own more, if we want to gain more of the business, we have to earn it not buy it. And therefore the better we become at running our plants servicing great projects will give us opportunities to probably continue to increase that hit rate.
Operator: Our next question comes from the line of Brian Drab.
Brian Drab: On the Utility segment you know the commentary over the last year or so has been you've been seeing volumes kind of hold up and be flat essentially but we saw in if I heard correctly a negative 8% move in volume in the quarter. Was that a surprise relative to your expectation?
Mogens Bay: Not really, because going into the first quarter we had a pretty good feel for what volume would be. I would say there was maybe one or two projects that moved into the second quarter that we had expected in the first quarter, but otherwise, you know when we talk about volume one of the things is and we talk about, we have always talked about capacity in this business. When it comes to hours worked, we are pretty flat with what we had last year, but structures tend to be smaller and therefore lower steel volume goes out the plant so they tend to be more labor intensive. So as I also mentioned we expect a rebound in revenue on that business going into the second quarter which is reflected in our current backlog.
Brian Drab: And Mogens do you think that that business for the full year ends up kind of flat in terms of volume with that rebound?
Mogens Bay: Yes, I think about flat and I think -- what's the biggest change in the Utility business this year is going to be the quality of earnings.
Operator: Our next question comes from the line of Jon Braatz.
Jon Braatz: Mogens over the past year you've taken out a lot of cost and restructured certain areas and cut capacity. And I guess my question is what kind of revenue levels can the Company support given that the current dynamics of the Company and without adding additional costs per se. I'm trying to get a sense of maybe what the leverage opportunity should we see revenues begin to increase?
Mogens Bay: I would say a lot, in the Irrigation business we can go back to the levels we had two or three year ago, no problem, we can ramp that up. In the Utility business we didn't get rid of equipment. We moved the equipment to other plants. So the question there's ramp of shifts, adding welding stations, adding more people, so we can absorb quite a bit of expansion there. In the Pole businesses we're not a situation where we need to even think about adding capacity. So I would say from a capacity addition standpoint that's not going to be a problem even with a significant increase in revenue.
Jon Braatz: Okay, so when we look back I think your, I think it was in 2013, your peak operating margins were 14.5% or 14.3% or something like that. Do you think you've now positioned the company such that when the revenues come back that you can exceed I don't want to put a number to it but or make you put a number to it but do you think you're in a position now to exceed that type of operating margin.
Mogens Bay: Yes.
Operator: Our next question comes from the line of Kevin Bennett.
Kevin Bennett: Mogens just one question for you, in the release you stated that you think for the rest of the year revenues will be more in line with last year and I'm just curious what kind of gives you confidence in that statement given I guess what's going on in Energy & Mining and Irrigation?
Mogens Bay: Well, you know any given quarter you have to look into the crystal ball and see based on what we know today where we think we're going to be. And we think that in our forecast for the year we don't have an increase in Irrigation revenue we have some business units that's going to do better revenue wise but on balance and not exactly quarter-by-quarter but on balance for the next three quarters, we feel pretty confident that revenues are going to be approximately what they were in 2015.
Kevin Bennett: Okay, I mean can you give us a little, I guess a little bit more detail about what will drive that I assume David’s segment I think is one, but is that I mean higher steel prices or what, again what kind of -- what do you think drives that the easier comp on a year-over-year basis or?
Mogens Bay: We are not forecasting any impact currently of steel price increases. There may be some but in our forecast it's not a major impact. We do forecast that Irrigation business will not continue to decline in the second half of the year second half of last year was lower quite a bit from the year before, so, and actually in most segments we expect a pretty flat environment and that move a few percentage points up and down yes and for the quarter, yes also, but as we look at it today in total we expect it to be about in line for the nine months with last year.
Operator: And we now have a follow-up question from the line of Craig Bibb.
Craig Bibb: So it is just maybe a little bit of summary one, but it looks like you have a green shoot that USS margins have improved, you're looking at 200 basis points there, does that business bottom last year?
Mogens Bay: Well I didn't hear the first part of your question, was it…
Craig Bibb: I mean for you USS, did the business bottom last year I mean were you past the bottom?
Mogens Bay: I think so, yes, I think as we said revenue maybe pretty flat but all our internal efforts to improve the quality of the business will drive improved profitability and what we see out there is not a market that will continue to decline.
Operator: And we have another follow-up question from Sean Williams.
Sean Williams: Maybe Mark, could you just clarify maybe the thoughts around share repurchase I mean operating cash flow was actually quite robust this quarter but this was the slowest rate of repurchase in a while, I am just trying to think about at this point are there higher priorities on the list and share repurchase is maybe a little lower, lower down the list at this point?
Mark Jaksich: Yes Sean, I would say the first quarter cash flows if you look back historically were probably a little bit stronger than we normally would have in the first quarter, but that's always -- it's always a bit of balancing act as far as all the different possibilities for uses of cash. And so it is one of those where there is just a fair amount judging that goes into where we are in terms of share repurchase day-to day, week-to-week. And there are some days there has been some days where the volume, trading volumes were pretty low, so that effects our ability to buy shares a little bit as well so no I -- we still plan to continue to be in the market to buy back shares the pace at which we do that is going to vary somewhat overtime. But we try to be as opportunistic as we can and so those numbers may bounce around a little bit well we are certainly continuing to and planning to continue on the share repurchases.
Operator: Our next follow-up question is from the line of Brian Drab.
Brian Drab: And just quickly I want to follow up on gross margin and just make sure I understand it, if cost gains cost takeout gains have already happened for the most part for the year or will we see those maybe put some upward pressure on margins as we move through the year and specifically can you say whether gross margin, how should we think about gross margin for the Utility segment specifically and overall as we more from first quarter in the second quarter in particular given also these price and input cost dynamics that you talked about?
Mogens Bay: If you recall, we talked about cost takeout of about $30 million of which $8 million we have already benefited from in 2015, so yes there will be a little more difficult comparison as we get into the second half of the year. But offsetting that is probably getting more traction on the productivity improvements and operating of this new footprint. And continued focus on cost takeout, I think we mentioned to you at the Investor Day and another occasion that we continue to look for instance in Australia can we further take cost out by consolidating back office activities such as receivable management, invoicing, treasury functions et cetera, et cetera. So we have a sharp focus on continue to find ways to take cost out as we had last year but the main restructuring is behind us, but that doesn't mean that our commitment to find other ways to reduce cost is also behind us.
Operator: And there are no more questions at this time. I hand the call back over you presenters.
Mogens Bay: Thanks Kayla. This concludes our call and we thank you for joining us today. The message will be available for playback on the Internet or by phone for the next week. We look forward to speaking to you again next quarter. And at this time, Kayla will read our forward-looking disclosure statement.